Operator: Welcome to the Eutelsat Half Year 2025-2026 Results Presentation. [Operator Instructions] Now I will hand the conference over to the speaker, Jean-François Fallacher, Chief Executive Officer; and Sébastien Rouge, Chief Financial Officer. Please go ahead.
Jean-François Fallacher: Hello. Good morning, everyone, and thank you for joining us today. I am Jean-François Fallacher, CEO of Eutelsat. And I am joined on this call by Sébastien Rouge, our new CFO. So before getting into the details, a quick recap of the highlights of the first semester, which has been truly pivotal for Eutelsat. In terms of performance, first half operating verticals were almost stable. Within this, LEO revenues were up nearly 60%, reflecting the ongoing strong commercial dynamic and driving rise in revenues in all 3 connectivity verticals. The adjusted EBITDA margin is just over 52%. It's reflecting the impact of sanction-related loss of video revenues as well as the effect of the product mix with LEO revenues that are still during their ramp-up stage. As a result of the first half year performance, we are able to confirm our full year financial objectives. We made great strides in our refinancing plan with the successful completion of our EUR 1.5 billion capital raise in December, leading to credit rating upgrades from Moody's and Fitch. Subsequently, we have recently announced that we obtained almost EUR 1 billion in expert credit agency financing. We have also secured operational continuity for the OneWeb constellation with the procurement of a total of 440 new LEO satellites with technology enhancements. Finally, the disposal of our passive ground segment asset has been halted. While disappointing, this has no impact on Eutelsat's ability to finance its strategic development plan. And I will come back to this later. Now let's have a quick look at the key financial data. Total revenues for the first half stood at EUR 592 million, stable on a like-for-like basis and down 2.4% reported. Revenues on the 4 operating verticals stood at EUR 574 million. They were down 0.6% on a like-for-like basis, excluding a EUR 20 million negative currency impact. As stated above, LEO revenues grew almost 60% to EUR 111 million and adjusted EBITDA was equating to a margin of 52.1% on a like-for-like basis. That means excluding currency and hedging effect, the EBITDA margin declined by 3.4 points. CapEx was at EUR 291.5 million, but clearly should not be extrapolated for the year as a whole. We will come back to this. Let's now have a look at our H1 performance in more depth. Noting please that all commentary from now on will be on a like-for-like basis, [indiscernible] at a constant currency rate. Let's have a look at our revenues by vertical. I remind they stood in total at EUR 592 million for the last semester. So revenues of the 4 operating verticals excluding other revenues amounted to EUR 574 million. Video is representing 46% of the revenues, EUR 266 million, down 12%. And I am pleased now to note that all the connectivity verticals delivered growth this semester. Fixed connectivity, representing 23% of our revenue was up 17%. Government Services representing 17% of the revenues was up 8% and mobility, representing 13% of the revenues, up 8.5%. Our other revenues amounted to EUR 18 million. This is reflecting the revenue recognition from IRIS2 project. As you know, we are involved in the consortium system development -- in the consortium system development prime. And these other revenues are also including EUR 8 million positive impact from hedging operations. Let's now zoom in the Video business unit -- in the Video segment. First half year revenues were down by 12.3% to EUR 260 million. They are reflecting the impact of further sanctions imposed on Russia. This is amounting to circa EUR 16 million for the full year '25-'26 as a whole, which came on top of the underlying trend in this mature business. Second quarter revenues stood at EUR 133 million, down by 14.1% year-on-year, but broadly stable quarter-on-quarter, as you can see there. And on the commercial front, we had good news. We announced several renewals with quite long-standing partners at very key orbital positions, notably beIN, the media company, for distribution of DTH services across the MENA regions. This is reaffirming the strategic value of our 7/8-degree West video neighborhood. And in Europe, we were very pleased to announce the renewal of the deal with Polsat. We renewed a multiyear multi-transponder contract at a very flagship HOTBIRD Video neighborhood. Let's now take a closer look at the connectivity. Our total connectivity revenues for the first half stood at EUR 307 million, up by 11.8%. Within this mix, GEO revenues stood at EUR 196.8 million, which is a decline of 4.5%. And as you can see, obviously, this decline was more than offset by the strong ongoing momentum in GEO revenues, which rose 60% up to EUR 110.5 million. And second quarter revenues stood by EUR 157.9 million, up by 15% year-on-year and by 5.8% quarter-on-quarter. LEO revenues up 50% at 56.4%, while GEO revenues were stable, as you can see there at EUR 101.5 million. Let's now zoom in each vertical in more detail. I will start with the fixed connectivity vertical. The first half fixed connectivity revenues, they stood at EUR 132 million, up by 17.2% year-on-year. This is clearly reflecting the continued growth on LEO-enabled connectivity solution. As well, we have a one-off impact, and this is resulting for the upfront recognition of revenues relating to a capacity contract with a GEO customer for an amount of circa EUR 7 million. The second quarter revenues stood at EUR 70 million, up EUR 18.3 million year-on-year. On the commercial front, Eutelsat reinforced its presence in Africa with a distribution agreement with MSTelcom in Angola for LEO services for businesses located in hard-to-reach regions as well as new multi-million, multi-year agreement with Paratus for services across Southern Africa. Let's now have a look at the Government Services segment. Revenue stood at EUR 99 million, up 7.7% year-on-year. They are reflecting again here the growth of LEO-enabled solutions, notably with a number of services delivered in Ukraine as well as increased demand from other governments. Second quarter revenue stood at EUR 46 million, down by 2.2% year-on-year. This is mainly reflecting the softer revenues coming from the U.S. as well as lower terminal sales in Q2 than Q1. Key highlights of the past semester, including the successful partnership with Airtel to support the Indian Army's relief operation with LEO connectivity. And we had also some activities in flood impacting Sri Lanka. Elsewhere, Eutelsat obtained approval for the first military-grade manpack terminal with our OneWeb network. This is a terminal for the armed forces developed in partnership with Intellian Technologies. It's now -- this terminal is now available to government and defense customers that will need a portable, resilient connectivity solutions. Now let's have a look at the mobility segment. Revenues stood there at EUR 77 million, up 8.5% year-on-year, reflecting the activation of contracts with aero mobility customers. We now have almost 600 certified antennas installation on planes, out of backlog of over 1,500 aircraft compared to what we had last year, 100 certified antennas and a backlog of 1,000 antenna. So you see the great evolution of our backlog and a number of antennas, which are actually active on planes. This impact is even more visible on the second quarter, where revenue stood at EUR 42 million, up to 34% year-on-year and 21% quarter-on-quarter. On the commercial front, we are happy also to pinpoint the multi-year deal we've inked with CMA CGM Group on maritime. This is a deal we closed with Marlink to integrate OneWeb into the connectivity solutions of CMA CGM global maritime fleet. Elsewhere, Eutelsat's OneWeb LEO network will provide passenger WiFi services on railways. We have signed a deal with Transgabon in partnership with Airtel Gabon. This is also reinforcing the Eutelsat Airtel partnership. And this is the start of business we are going to do in rail connectivity across Africa. Let's now if you wish to have a look at the backlog. The backlog stood at EUR 3.4 billion on end of December '25 versus EUR 3.7 billion earlier. This backlog of EUR 3.4 billion is equivalent to 2.7x the 2024-'25 revenues. And for you to know, connectivity represents 59% of the total backlog versus 56% a year ago. This evolution is reflecting the rapidly increasing weight of LEO business in the mix. And as a reminder, these LEO business contracts tend to be shorter. Moreover, only the success of the take-or-pay contracts, the LEO take-or-pay contracts are -- while what we call pay-as-you-go contracts are not reflected in the backlog at all. As a result, while it remains a useful indicator, the evolution of the backlog is a bit less correlated -- is now less correlated with future revenue trends than it used to be in the past. Let's now turn to the financial performance, and I will pass the floor to Sébastien.
Sébastien Rouge: Thank you, Jean-François. Good morning, everybody. Revenues were covered in detail. So let's now jump to group profitability. Adjusted EBITDA stood at EUR 308 million for the half year ended on the 31st of December compared to EUR 335 million a year earlier, so down by 8%. On a like-for-like basis, it's down 6.1%. Operating costs stood at EUR 283 million, up EUR 12 million and well contained in spite of the large growth of the LEO business. They reflected mostly an increase in the -- related cost of goods sold. The adjusted EBITDA margin stood at 52.1% reported versus 55.2% a year earlier, so down 3.1 points. It is a consequence of the impact of sanction-related losses on Video revenue as well as the effect of product mix within LEO revenues during the ramp-up stage. If we look now at the rest of the P&L, the net result was a loss of EUR 236 million, largely reduced from the loss of EUR 873 million a year earlier. This reflected limited other operating losses at EUR 69.6 million as compared to EUR 691 million last year. As a reminder, in the first half of '24-'25, we included goodwill and satellite impairments totaling EUR 650 million. You can note we have also lower D&A at EUR 357 million versus EUR 434 million last year, reflecting notably the end of the amortization of certain intangible assets. As well, we have the positive effect from the securing of operational continuity of the LEO constellation, and that follows the procurement of the additional 340 satellites. Finally, we have a favorable currency impact in D&A. Net financial cost of EUR 95 million versus EUR 99 million last year, notably reflecting lower interest following the full repayment of the 2025 bond. And finally, corporate tax of EUR 21 million versus EUR 7.6 million last year. That's an effective tax rate of 10%. If we move now to our CapEx plan. Gross CapEx amounted to EUR 292 million as compared to EUR 175 million a year earlier. This reflects the timing of key milestones in LEO investment programs. I will remind, it should not be extrapolated for the full year since most of the investment will be deployed in the second half. Nevertheless, because of the phasing of LEO programs as well as an increased vigilance on our GEO spend, CapEx for the full year is now expected around EUR 900 million, while we announced EUR 1 billion to EUR 1.1 billion previously. Going forward, CapEx will remain focused on LEO activities in line with the group's strategic vision, primarily for the OneWeb follow-on program. GEO CapEx will be limited to ensuring service continuity. In this context, the group has canceled the procurement of the so-called Flexsat Americas following a review of its business case, resulting in future CapEx savings over EUR 100 million. Now in terms of financing structure of Eutelsat. The most important thing, on December 31, '25, net debt stood at EUR 1.3 billion, down EUR 1.3 billion as well versus the end of June '25. That is clearly reflecting the net proceeds from the capital increase. As a result, the net debt to adjusted EBITDA ratio stood at 2x as compared to 3.9x at the end of June '25. It will not stay at this level up to the end of the year because of the phasing of CapEx, which is skewed to the second half. The average cost of debt after hedging stood at 4.2%. It was 4.8% in the first half of last year. Weighted average maturity of the group's debt is 2.3 years as compared to 3 years at the end of December '24. We enjoy a great level of liquidity with undrawn credit lines and cash, which stood in total around EUR 2.1 billion. On this good note, now back to Jean-François to comment the outlook and next steps.
Jean-François Fallacher: Thank you, Sébastien. On the first half of 2025-'26, clearly, it's been a crucial semester for Eutelsat, most notably with the successful execution of the foundation of the refinancing plan with the success of the EUR 1.5 billion capital raise, that was clearly fully supported by our core shareholders and followed by credit rating upgrades from Moody's, up two notches to Ba3; and Fitch up three notches to BB with stable outlook. Subsequently, as announced, earlier on this, we have secured almost EUR 1 billion Export Credit Agency financing. And our intention is clearly to build on these strongly improved financial fundamentals to undertake the refinancing of our bonds in order to complete the strategic refinancing plan. In parallel, now I'm going to the next slide. We are taking steps. We have taken steps -- important steps to secure the operational continuity of our LEO constellation. We've procured 341 web satellites on top of the previous order of 100 bringing the total number of new satellites to 440. The availability of these satellites will assure full operational continuity for customers of the constellation that will be progressively replacing early batches of satellites that were coming to an end of life. And moreover, we are having the possibility of taking on board hosted payloads on some of these satellites, opening the possibility for Eutelsat OneWeb to a new type of business development. Furthermore, we diversified our options for access to space. We have signed a multi-launch agreement for the future launch of LEO satellites starting in 2027 with France launcher MaiaSpace. Before wrapping up, a quick word on the recent announcement on the transaction to dispose of the passive ground segment. At the end of January, we announced that this transaction will not proceed as all the condition precedents have not been satisfied. In that case, the condition precedent was the approval of the French state. While disappointing the noncompletion of the transaction does not affect our ability to fund the capital expenditure related to our strategic growth trajectory following the refinancing measures that we have undertaken since this announcement. It has no effect on our financial objectives for the current year with the exception of the net debt to EBITDA, which is now expected to stand at around 2.7x at the end of the year versus the 2.5x previously announced this project would have gone through. On the other hand, the effect on the EBITDA margin is positive to the tune up to roughly 5 points as clearly, we will not be paying the leases of circa EUR 75 million, EUR 80 million per annum that was planned to be paid to the acquirer. Let's now turn to our financial objectives. The first half performance was in line with expectations, enabling us to confirm our full year '25-'26 objectives. I'm reminding them now. Combined revenues of the 4 operating verticals in line with the levels of '24-'25 with LEO revenues growing by 50% year-on-year, and adjusted EBITDA margin expected slightly below the level of full year of '24-'25. Gross capital expenditure in full year '25-'26 initially expected in a range of EUR 1 billion to EUR 1.1 billion, now expected to around EUR 900 million. Following the capital increases in December '25 and taking into account the nondisposal of the Ground segment, net debt to EBITDA is estimated at circa 2.7 multiple by end of the year '25-'26, reflecting clearly a robust and self-funded financing structure. Looking further out, Eutelsat demonstrates, I believe, some of the most attractive growth and profitable prospects in the sector with revenues expected in a range between EUR 1.5 billion and EUR 1.7 billion in the end of the full year '28-'29, supported by the strong momentum of LEO revenues, which are significantly outperforming the market. Our operating leverage is expecting to drive to a mid- to high single-digit percentage points of improvement in the EBITDA margin, resulting in a margin of around 65% by '28-'29. In the long term, post full year '28-'29, the B2B connectivity market is expected to pursue its growth, clearly with a double-digit rate driven by the LEO market expansion. So a few words to sum up. First half revenues once again confirmed the significant momentum in LEO revenues. Our financial situation is significantly reinforced following the capital raise of EUR 1.5 billion and the attention of the EUR 1 billion ECF funding and the operational continuity of OneWeb constellation well assured with the procurement of further 440 LEO satellites. So now with both financing secured and operational continuity assured, we can look forward with confidence as we focus on our growth strategy based on the development of our LEO business. I'm thanking you very much for your attention, and we are now ready to take your questions.
Operator: [Operator Instructions] The next question comes from Aleksander Peterc from Bernstein.
Aleksander Peterc: I just have a first a couple on connectivity. Do you expect government to bounce back? We had a bit of a weaker-than-expected revenue in the reported quarter. So I was wondering if this is just due to one-off installation effects and so on. And conversely, on aviation, do you see the strong traction there continuing given your strong backlog numbers and installed planes numbers that you disclosed in the report? So should we be a bit more bold in our estimates for this vertical going forward? And then secondly, on your debt, do you plan a bond issuance soon? The bond issuance conditions your access to the ECA financing? Is that a near-term event? And once you complete that and you have access to the ECA EUR 1 billion, do you think you have a credible path to investment grade in the medium term?
Joanna Darlington: Alex, it's Joa on the line. So I'll take your first question, and then I'll pass the other questions on to the others. So you're right, there's a slight slowdown in Q2 on government services. I think that the first thing to remember is that in Q4 of last year and Q1 of this year, there was quite a high level of equipment sales in the mix, and this obviously reflects the very strong momentum that we saw in government services throughout financial or calendar year 2025. The fact is that, that mix has been slightly different in the second quarter. But I think I would say 2 things. The first thing is that the -- it's absolutely a good signal to have terminal sales in the mix because obviously, you need to install the terminals so that you can then get the service revenues going. And the other thing I would say is these are long-term businesses. So I wouldn't extrapolate a trend based on the performance of one quarter to another. I think on your second question, I mean, yes, obviously, we have been making very strong progress on aviation. You can see that the number of installations has gone up as has the backlog of planes. As a reminder, all of these customers are serviced by our distributors, not directly by us. So this means that the distributors who are Intelsat, Gogo, I mean, obviously, they're Panasonic, they're getting momentum in terms of selling the OneWeb service. So yes, it's a positive sign. We knew that once the kind of we got to a certain critical level of global coverage, then it would unblock the pipeline for Aero, and this is what you're beginning to see. I mean how you adjust your forecast is up to you. I would highlight that for the year as a whole, we are not changing our revenue forecast for the group. And I think your third question about the bond issuance, maybe Sébastien wants to take that.
Sébastien Rouge: Look, I think you're right. The last step of the full refinancing of the group after the capital increase, renegotiation with the banks and the setup of the ECA loan is actually to issue some bonds to make sure that we refinance some of the maturities that come in the next years. The only thing we can say is that it's clearly on the radar, and we're in preparation mode. Whenever we are ready, we'll announce that to the market. As far as investment grade is concerned, I had the first interaction with our rating agencies. Before we anchor ourselves completely in investment grade, I think there are a few steps that have to be followed, in particular, phasing and the way IRIS2 will be financed. I think we first have to answer to this question before we entertain a complete clarity vis-a-vis the rating agencies.
Aleksander Peterc: Can I just have a very quick follow-up? You have one expensive bond at 9.75%. Would that be a candidate for an early redemption?
Sébastien Rouge: Yes, we are looking at this one in particular with -- in the foreseeable future, yes.
Operator: The next question comes from Roshan Ranjit from Deutsche Bank.
Roshan Ranjit: I have 3 questions, please and I guess, perhaps related to the first one around government. Interesting that you have canceled the Flexsat Americas satellite. I was just wondering what the kind of reasoning behind that is. If I remember correctly, that satellite was clearly directed over the Americas for activity and government business. So are you perhaps seeing less of a U.S. kind of demand? Clearly, you are seeing strong pickup in Europe. But is there a bit of a softening, as you say, the U.S. side, please? And just added to that, if you could give us -- remind us of the mix of U.S. DoD revenues within your government vertical, that would be helpful. The second question is on video. And clearly, the headwinds from the Russian sanctions still impact it. But if I adjust for that on my calculations, I think high single digit, perhaps very low kind of double-digit underlying decline in video. Your previous message was kind of a mid-single-digit decline. So should we think the new normal is kind of high single digit for the video business? And lastly, could you just give us a quick update on IRIS2? I understand that we're supposed to be getting a kind of this rendezvous point in the coming weeks to kind of finalize the numbers and get the ultimate go ahead. Is that still the case?
Jean-François Fallacher: Maybe I will take -- thank you for your questions. On the Flexsat Americas, I mean, the decision is not linked to the U.S. or to the continent itself, the U.S. continent itself. Now the decision we have taken is linked to the fact that we didn't see a viable business case or at least the return was going much further down the years, 2030s with the Flexsat Americas, simply linked to the fact that we see more LEO constellations coming, and we thought, basically, we would not have a flying business case anymore if I may say so. And that was the main reason why we decided to cancel now on an amicable basis this -- the construction of this GEO satellite. So this is obviously going to avoid a lot of CapEx to us in the very short term for a business case that was more and more shaky. So that's the main reason of this decision. Maybe I will take the question on the IRIS2, and I will let Joanna tell you a few words about -- on the video and how we see the evolution of our video business. Keep in mind always that on the video business, of course, we can talk about trends, but we have long-term big contracts with a number of different parties. So every year is a bit different. So it's a bit difficult to talk about trends, but I will let Joanna say more on that. On IRIS2, where are we? So we are, as you know, one of the key, let's say, players in the consortium, SpaceRISE consortium together with SES and Hispasat that have won this concession from Europe. We've been working the full year 2025, calendar year 2025 with actually suppliers and the supply chain in order to solidify the constellation we want to build. We are now entering a so-called -- on level 1 with European Commission. And this semester will be key because this is the moment where we will actually finalize our commitments. I'm talking about the SpaceRISE consortium towards Europe to actually build this constellation, this European constellation further. So we are having a very important semester now in this project. So stay tuned. Maybe Joanna, a few words on the video.
Joanna Darlington: Yes. So I think -- thanks, Jean-François. So on video, not really a lot more to say. You're right that this year, obviously, is affected by Russia. And I mean, technically, if you remove Russia and recalculate, yes, it gives you a decline, which is a bit higher than mid-single digits. But as you know, because you've been covering the sector for a long time, it can be quite lumpy based on renewals. So again, I wouldn't necessarily extrapolate that into a long-term trend. I think we can probably say that what we've been seeing in the last year or so is a bit higher than mid-single digit underlying. But -- so your other question, I think, was the mix of U.S. DoD within government. It's now less than 50%, and we expect it to continue to decline as we build up with other governments and obviously, notably the framework agreement with the French DoD, but not only.
Operator: The next question comes from Ben Rickett from New Street Research.
Ben Rickett: I had 2 questions, please. Firstly, in the context of your Flexsat Americas cancellation, I'm just wondering how you think about the long-term viability of your GEO constellation. Do you think you will ever launch a GEO satellite again? And related to that, what level of GEO CapEx should we be expecting going forward? And then second question, it seems increasingly likely that Germany is going to build its own LEO constellation for their military. I don't know how much interaction you've had with the German government, but I'd be interested in your perspective in why Germany is doing this rather than using the IRIS2 constellation. Are there technical limitations with IRIS2? Or are there other factors?
Jean-François Fallacher: Thanks very much for your 2 questions. On the GEO satellites in your question, will we ever build new GEO satellites in the future? So first of all, we have one project, one GEO satellite project still live, new GEO satellite with -- together in partnership with Thaicom, so which is a satellite that will fly over Asia. It's a connectivity satellite. So this one, we are feeling very confident, and we are really happy to keep it. We see the business plan still extremely valid over that region. Let's remind that when we look at our fleet of 34 GEO satellites, we have a big number of video GEO satellites. So these satellites have a long life duration. I believe in the future, we will have to invest in new GEO satellites for video because we have a number of regions where actually video is still -- the video business is still going very well. I was just saying, we are proud to have re-signed an important contract with Polsat, which is 1 of our 2 large customers in Poland. So there are a number of geographies where actually video is holding very well. I'm not even quoting Africa, where we have Canal+, MultiChoice as big customers. MENA, where you have seen we have renewed the contract with beIN. Our 7, 8 West position is a very strong one over MENA. So some of these satellites will, at some point, come to an end of life, but that will be post 2035, more in the '35 -- 2035-2040 region. So probably in a few years, we will need to look at the evolution of our GEO satellites, take decisions. Not much I can say now because, I mean, these GEO satellites can be also moved from one place to another place. So all of this is basically going to be looked at carefully. In the very short term, I mean, in the foreseeable short term, there is no such project, but for sure, in the future, there will be additional investments in GEO satellite. That's the first question. The second question about the public announcements of Germany. So just to put back these things in their context, first of all, there are announcements. We are taking them, obviously, very seriously. There are announcements from the German Bundeswehr, so the German MoD wishing to build its own military-grade LEO constellation. Obviously, we are in touch with Germany at multiple level. The reading and the reason why this project came to see the light, I think, it should be more asked to the Germans. We have obviously our ideas. One of them could be that they were expecting a very late arrival of IRIS2. And believe me, we are working very hard to have IRIS2 coming and becoming live in 2030 as was initially explained. So that's the only thing that I want to say. I take the opportunity that you are all here to say that what I'm advocating, we had a press conference this morning, and it's not the first time I'm saying it. Basically, personally, I believe that this is one of the pitfalls or one of the traps that Europe could have, is to fragment and that each country. And we understand that Europe is 27 countries, with 20 sovereign countries -- 27 sovereign countries, and there is always the temptation to build your own national object. But looking at the size and the complexity of building a LEO constellation, I remind, OneWeb, $7 billion invested since the beginning of the project in 2015, 7 years before OneWeb became really operational, and we could start to sell services over this constellation. So I believe, for Europe, that would be a trap, that would be a pity that Europe would fragment and that some of the countries would build their own constellation. I mean nonetheless, obviously, we are respecting the sovereignty of Germany and whatever decision they will take, but we are clearly advocating and trying to convince the Germans not to go that way.
Operator: [Operator Instructions] The next question comes from Stéphane Beyazian from ODDO BHF.
Stéphane Beyazian: Just a follow-up on the discussion about Germany, and perhaps I could add Italy as well. I mean if these 2 countries were to decide to build their own constellation, I would suspect that this probably changes your guidance for revenues coming from IRIS2 and possibly the return on investment. So yes, I was just wondering to what extent these 2 countries are important in the calculations that have been made about future revenues coming from IRIS2. And second question, I was just wondering if -- obviously, without revealing anything that could be confidential. But is there any major or big contract tender that is ongoing and which is public? I was thinking about the SNCF, which I think is looking for a provider of connectivity. Any update there? I mean any other major contracts that could be coming up and that is publicly known?
Jean-François Fallacher: So just on your first question, it's much too early to answer to this question, obviously, but just -- I mean, because, again, I'm insisting, I mean, these are announcements. There is nothing concrete at this stage. Takes very long time to build a constellation. Let's never forget that this constellation, whether it's ours, whether it's IRIS2, are worldwide constellations. Low orbit satellites are flying by construction all over the earth, meaning that the economic model of this constellation cannot be standing on just one region. The economic model of OneWeb, the economic model of this constellation are worldwide. Just a few numbers, they are facts. The French -- the turnover of Eutelsat in France, France represents 7% of our turnover. Full Europe represents 27%, out of my memory, of the total turnover of the group. So I mean, of course, I mean, Germany is an important country, no discussion. Italy is at the same -- I mean, evenly a very important country in Europe, no discussions. But again, I mean, the revenue expectations and the business case we are having post 2030 linked to IRIS2 are also based clearly on international revenues in many other countries than just European countries. I remind that, as we speak, OneWeb is opened and we can sell in 180 countries across the world, not to name maritime, not to name planes, aero. So again, too early to make any statements about that. And we are working extremely hard and very focused on the Eutelsat side on making IRIS2 a success. Your last question, SNCF. Yes, obviously, we are in discussions with SNCF. Much too early to say. I mean SNCF is still in the process of, let's say, preparing their RFP. They have announced it. I believe there will be an RFP somewhere this year on basically the equipment of the French trains. Allow me also to give you an update on our NEXUS contract. We had a bit of, let's say, late start of the revenues in this contract simply because, as you have probably seen, France was having difficulties to finalize the budget for the country. The good news is that this has been now finalized 2 weeks ago. So that will also allow the French MoD to really take actions now. We've been working very closely with them since the announce of this frame contract since summer last year. We have things in the pipe, and hopefully, we'll be able to make some announcements in the second semester that has already engaged because now that the French Army has a budget, I mean, they will be capable of taking some actions and taking -- sorry, and signing purchase orders basically, which is what we expect now.
Stéphane Beyazian: And I have a third question. Do you think it's possible?
Joanna Darlington: Yes.
Stéphane Beyazian: My third question is do you see any area for possible diversification? I'm thinking about earth observation or data analytics. And I would stretch the question to something that is probably a little bit different and more CapEx intensive. There's been a lot of talks also about computing in space. Anything, any color you could provide on that?
Jean-François Fallacher: Thank you for your question. It's an excellent question. The first -- so we are not going to go into space observation. This is too far from our current business, although, I mean, it's -- actually, I understand why you think about that. There are 2 things we could quote now: one -- the first one because this is very concrete and this is very material. This is hosted payloads. In the satellites we have purchased to Airbus, 340 satellites, we have actually built an option on these satellites to embark what we call hosted payloads. So this is some, let's say, physical space we have on these satellites. Well, for those of you in the call, which are not familiar, I mean, the size of this OneWeb satellites are the size of, let's say, a big refrigerator or a big washing machine, something like that. We have actually some space that allows us to take an additional payload. So -- and what we would provide to these payload is basically electricity coming from our solar panels and batteries and a little bit of connectivity so that we could have people indeed doing earth observation or some kind of monitoring or whatever payload, scientific payload, military payloads. We can plug them in the space, in our satellite and take them with us in space and fly them with us. So these are -- this is really a new business in which we believe because this is win-win. This is, for us, the possibility to open a new stream of business. And this is for parties, which are having projects to put in space some specific missions and could not do it because it's very expensive to build a platform, to build a satellite. It's very expensive to launch a satellite. It's very expensive to maintain a satellite, to operate a satellite fleet. So that's a win-win. It's a new business line that we have opened with these 340 satellites that we are now marketing, selling to a number of space and new space actors across the globe. And I hope, without revealing anything, that we can have some announcements in the first semester. That's the first thing. The second thing, although it's very early to say, I mean, obviously, the deal with EQT that has been halted has been actually showing -- I mean, putting an eye on the ground assets of Eutelsat. These assets used to be seen as technical assets and operational assets in the past. Through the deal, we have prepared with EQT -- I mean, it became very clear that this asset could be a bit sweated. So we could derive some business from these assets. So clearly, now that the deal has been halted, these assets are still ours, obviously. We have started some kind of carve-out. So we are going to look, obviously, at the possibility to monetize a bit more these assets. So this is, I would say, the second direction. I want to pinpoint on what additional businesses could we -- aside our core business, could we start to launch basically. So -- and we have other projects in the cupboards, but I want to stay there for now because these projects are much too -- at a much too early phase. But we are seeing actually innovation and business development as also a key potential direction for the future.
Stéphane Beyazian: And what about the orbital data centers? Anything on that? Or that's part of what you don't want to comment too much today?
Jean-François Fallacher: No, we -- I mean, we've obviously seen and read like everyone the starting projects on this area. I mean, at this stage, we have no such projects at Eutelsat.
Operator: There are no more questions at this time, so I hand the conference back to the speakers to conclude the call.
Jean-François Fallacher: So thank you very much for your questions. Again, first half results confirming the momentum in LEO revenue. Our financial situation significantly reinforced capital raise of EUR 1.5 billion, ECA of EUR 1 billion. More to come as you understood today on the bond side, operational continuity of the constellation on the way with the order of 440 satellites. So now financing secured, operation continuity assured. We are looking forward to the future with confidence and we are focusing on our growth strategy based on the development of the OneWeb LEO constellation. Thank you very much, ladies and gentlemen.
Operator: This concludes the call. You may now disconnect.